Operator: Good morning. My name is Allen and I will be your conference operator today. At this time, I would like to welcome everyone to the Andrew Peller Limited Second Quarter 2025 Financial Results Conference Call. [Operator Instructions] I will now turn the call over to Jennifer Smith. Please go ahead.
Jennifer Smith: Thank you, and good morning. Before we begin, this is a reminder that during the conference call, management may make statements containing forward-looking information. This forward-looking information is based on a number of assumptions and is subject to a number of known and unknown risks and uncertainties that could cause actual results to differ materially from those disclosed or implied. Please refer to the company’s earnings release, MD&A and other security filings for additional information about these assumptions, risks and uncertainties. With that, I’ll now turn things over to Paul Dubkowski, Chief Executive Officer of Andrew Peller Limited. Paul?
Paul Dubkowski: Thanks, Jen, and good morning to everybody on the call. It is really a pleasure to be joining you here on this beautiful fall day in Ontario. It’s always an exciting time of year as us and everyone across the industry is pushing forward to the end of the 2024 harvest. I would like to thank our team and all of our partners for their tremendous effort during this busy but exciting time of year in the industry. I’m also pleased to be joined today by Patrick O’Brien, President and Chief Commercial Officer; and Renee Cauchi, who was recently appointed Vice President, Finance and Interim Chief Financial Officer. In terms of an agenda for the call, I will review the financial and operational highlights of the quarter, and Patrick and I will update on other key business matters and then open the call for any questions. Moving on to our financial results. Our Q2 results were highlighted by solid year-over-year growth in revenue and EBITA. Sales in the second quarter of fiscal 2025 increased $9.1 million or 9% year-over-year to $109.2 million. This is primarily due to an increase in sales from our retail stores due to the LCBO strike in July. As we discussed on our last earnings call in August, when the LCBO was on strike for 2 weeks in July, our team quickly mobilized to ensure we could meet consumer demands during the strike period. With a focus on increasing shipments and availability of our product at our wine shop stores and increased availability through our estates and online channels, we are able to meet our consumers’ needs and protect and grow the revenue and profitability of the business. Additionally, we generated solid results in Q2 from sales to provincial liquor boards, restaurants and hospitality locations. The sales growth was further supported by the revised Ontario VQA support program that was announced in December 2023 and further explained in our disclosure materials. Offsetting these positive factors, we are continuing to see some softness across the wine sector, in particular, in our estates and across our direct-to-consumer channels due to reduced traffic and lower levels of consumer discretionary spending. The breadth of our brand portfolio and sales channels allowed us to mitigate the impact of these softening conditions and contributed to our ability to outpace the overall wine category. I’m pleased to report that for the fiscal year-to-date, we have gained share over the prior year in total wine and improved our market position nationally in both VQA and ICB wines. Some of our portfolio highlights include with respect to VQA where Andrew Peller Limited is solidly a number two share, we have seen continued strength in Gray Monk, which is the number one BC VQA brand and close to being number one nationally and Gretzky, which is the number two Ontario VQA brand. In IDB, we are the fastest-growing company in this category. Our results this year are highlighted by strong growth in Copper Moon and in Honest Lot, Zero Sugar offering across several varieties. Honest Lot is our fastest-growing brand across the portfolio, competing in the healthier-for-you category. This portion of the portfolio has effectively tripled over the past year, and you can expect to see us come to market with further innovation in this category. Lastly, we are bringing more diversity to the portfolio through growth in our Owned Imports. This portion of our portfolio has increased in sales by 47% nationally versus a year ago. A recent example that we have brought to market within Owned Imports is an Australian brand wine called Rewild, which is a leader in sustainable and biodynamic practices. Rewild has just entered the BC market, and we’re seeing positive momentum since launch. Moving to margins. Margin in the second quarter of fiscal 2025 ended at $46.3 million, up $5.1 million or 12% from $41.3 million in the prior year. Margin as a percentage of sales was 42.4%, up compared to 41.2% in the prior year. Margins benefited from increased sales at our retail stores during Q2 and production efficiency and cost saving programs that were implemented over the last year. Offsetting some of these improvements, while we have seen some stabilization this fiscal, we continue to see the impact of reduced sales in high-margin channels such as the estates and our direct-to-consumer channels as well as continued cost pressures on raw materials and international freight and shipping charges. Selling and administration expenses landed at $28.3 million for the quarter, up $2.2 million or 8% to the prior year. As a percentage of sales, expenses remained consistent at 26% in the quarter as the increase in costs was directly related to the increased sales during the quarter. EBITA landed at $18.0 million in the quarter, up 19% from $15.1 million last year. This increase was mostly driven by the increase in sales and margin from our retail stores. Turning to our balance sheet. At the end of the quarter, inventory decreased to $162 million versus $192.5 million at the end of fiscal 2024 as we continue our focus on working capital by managing our safety stock levels and rationalizing packaging and other raw materials. Inventory levels will continue to fluctuate based on seasonality as it relates to the domestic harvest and overall macroeconomic conditions. Long-term debt was $180.3 million, down from $208.3 million at the end of fiscal 2024, and there was capacity in our revolving credit facility of approximately $88 million with shareholders’ equity landing at $5.57 per share. As we look forward to the end of the year, we do expect debt levels to increase as we complete our domestic harvest. Year-to-date, we have generated $40.8 million in cash from operations compared to $29.8 million last year, largely due to improvements in working capital and our net cash debt position improved by $21.7 million. Moving on to some other business matters, I am going to pass it to Patrick to give an update on retail modernization in Ontario.
Patrick O’Brien: Thanks, Paul. Good morning, everyone. I’m going to share an update around retail modernization and a brief update around our BC replacement program as well. So firstly, on retail modernization, as you likely know, as of the end of October, as part of the government’s plan to expand alcohol sales, every eligible convenience, grocery and big box store in Ontario is allowed to sell beer, cider, wine and RTDs if they chose to do so. As part of this change, the overall Ontario retail landscape has increased points of distribution by over 5,200 locations within convenience, gas, grocery and big box. Our team is engaged and committed to ensuring we win in a highly competitive landscape. APL has recently entered into a partnership with Advantage Solutions, which is a leading provider of outsourced sales and marketing solutions within the convenience and gas channel. We believe that our partnership with Advantage Solutions will enhance our market reach and our sales capabilities within the newly established Ontario convenience and gas channel, which now has over 4,750 licensed points of distribution. We also have made the decision to optimize our commercial structure to ensure we are set up to meet the changing needs of our grocery and big box customer partners as we move forward. It’s important to recognize that there is a significant amount of change taking place in the Ontario retail landscape, and we’ll continue to monitor the performance of the overall beverage alcohol marketplace in the weeks and months ahead as the market expansion continues to take place. We’re certainly excited about our initial momentum and the future potential of our commercial changes, whilst we’re also mindful of the increased cost to serve the incremental 5,200 new points of distribution within the Ontario retail market landscape. Now moving on to an update on the BC landscape given the winter events in 2023 and 2024. As we confirmed back in July, in response to the challenging winter events, the BC government confirmed temporary financial support for wineries, bringing in replacement wine to help protect jobs and ensure the BC wine industry remains viable and strong. We are currently executing our replacement strategy in market, which we believe will allow us to keep a largely consistent amount of wine on shelf and mitigate any economic impact. We will provide further updates on this over the coming quarters as the program rolls out fully. And now I’ll pass you back to Paul for a Port Moody update and to wrap up.
Paul Dubkowski: Thanks, Patrick. So now moving on to Port Moody, which we’ve updated on in the past which relates to our development land for sale in BC, we do continue to work closely with our consulting and real estate partners in the region related to the property. Conditions continue to be a bit challenging with elevated interest rates. And while they’re coming down, they are still elevated to historical levels. We are still seeing high construction costs and a changing lower Mainland BC real estate environment as they look to promote more housing. The property still remains valuable. And as these conditions continue to trend towards improvement, we are confident in the sale of the property, and we will update that during future quarters. So in summary, while we work to manage the impact of the challenging weather events in BC and adapt to a rapidly changing Ontario retail environment, as Patrick mentioned, we are confident our operational scale, the strength of our team and the diversification of our portfolio will ensure we are set up for success. Our portfolio is well positioned to meet our consumers where they want to shop as evidenced by our strong relative performance this year. We remain focused on growing our key brands while also introducing new products within our core wine segment and other growth categories that build on our company’s history of innovation. Stay tuned for more innovation in the coming months and quarters ahead. These revenue initiatives in addition to a focus on cost savings and profitability will help drive further market share gains, improve margins and support EBITDA expansion as we move forward. To finish, I’d like to thank our teammates for their passion and commitment to our customers and our culture. Our success is made possible by their dedication and efforts. Thank you. And with that, I’ll turn it back to the operator for any questions.
Operator: [Operator Instructions] Your first question comes from Luke Hannan of Canaccord Genuity. Your line is already open.
Luke Hannan: Great. Thanks. Good morning, everyone. I wanted to ask about the Ontario retail modernization. And more specifically, I know it’s very, very early days. But at this point, are there any notable trends that you can call out when it comes to channel shift? I’m thinking more specifically about away from the LCBO towards other retail channels. And then, Patrick, I know you had mentioned that there’s a cost to serve when it comes to those incremental 5,200 points of distribution. But can you help us think through a higher level what are the bigger cost buckets within that cost to serve, just to, I guess, help us try and think through what the potential margin impact is going to be down the road?
Patrick O’Brien: Thanks, Luke. I guess just first on – I think it’s a 2-part question really. So I think on the first one, I’ll take the – again, the evolution of the marketplace and just how we’re seeing some of these new channels develop. I think just in general, it’s fair to say it’s definitely early. As you’re probably aware, I think convenience and gas opened around, I think it was the 5th of September. And then big box and grocery expansion really was the 31st of October. So again, we’ll comment more on that in the next quarter. But ultimately, no major updates at this stage, just knowing that it was in late Q2 in terms of those shipments. So our team is certainly encouraged in terms of some of the opportunities and broadening our reach for our portfolio. But I think at this point, we’ll probably have a more fulsome update around just how this is shaping out in the next quarter and later in the year. But rest assured, we’re obviously monitoring very closely the overall impact to the beverage alcohol industry and how it’s performing in totality and then how are these new channels starting to kind of play a role in that overall performance. On the second one, I think you mentioned just in terms of cost to serve essentially, again, knowing that it’s fairly early, and we’re, again, still going through some of those elements of just a very, I guess, new and ever-evolving and changing marketplace. We still really have to kind of work through how that is going to play out over kind of weeks and months ahead. It’s just something that we’re obviously very mindful of. It’s a far more complex industry, which, again, we’re used in other markets like Alberta. But at the same time, I think we’re going to work through this in the weeks and months ahead with our customer partners and our vendors. And again, we’ll share some of those updates in the next quarter.
Luke Hannan: Okay. Thanks. And then maybe just following up on that in the – I mean, you mentioned your experience in Alberta. In the conversation with the – conversations that you’ve had with your grocery and big box customers there, is there interest on their part in having your brands represented on their shelf when it comes to their locations in Ontario?
Patrick O’Brien: Yes. I think – again, I think the good news is because of our relationships nationally and again, into Alberta and BC, et cetera, it’s a lot of the same partners in terms of big box and grocery. So certainly, we believe we’ve got the portfolio to deliver, I think, great value and I think overall experience for consumers. So again, we have those relationships from West, which, again, I think we’re developing here in the East now. So again, I think we’ll be in touch in terms of some of those opportunities in the upcoming quarters, but certainly, we believe there is an opportunity for us here in Ontario.
Luke Hannan: Okay. And then last one here, and then I’ll pass the line. Paul, you had mentioned that there’s continued headwinds that you’re seeing in some higher-margin channels, specifically estates and DTC. Can you just give us a sense, I guess, from a high level, maybe where that stands relative to years past, maybe pre-pandemic levels? Has that gap closed at all over the course of the last year or so? Or has it been relatively stable?
Paul Dubkowski: Yes, happy to do that, Luke. So I mean, pre-pandemic, we’re largely trending in and around the pre-pandemic levels. When the pandemic hit, obviously, post-pandemic as there was a lot of domestic travel, we did see a spike in the traffic at our estates and obviously, in the performance at our estates. And that relates both to the estate, but also to our wine clubs and other things that are directly tied to our estates. As the economic conditions deteriorated as the world opened up and people traveled more internationally, we did see that traffic moderate to historical levels that were pre-pandemic. What I would say is that in the East, we’ve largely seen that stabilize this year. We saw a bit of a drop last year. It’s largely stabilized this year. And we are optimistic with some of the trends we’ve seen about what we’re going to see into the New Year and through the busy period next Q2. It’s a little bit different in the West. The West has had a string of challenging events out there between the freezes in the winter and the fire impacts from the last few summers. So we are working very closely with government to reopen the region. And while we see some decline in traffic out there, we again are seeing some positive signs that, that is going to return as we head into next year. So again, near at or around pre-pandemic levels, but that post-pandemic bump, we think we can start returning to that over the next few years.
Luke Hannan: Okay, great. Thank you very much.
Operator: Your next question comes from Megan Bergen of Acumen Capital Partners. Please go ahead.
Megan Bergen: Good morning. This is Megan on the line for Nick. Are you able to quantify how much of a lift the LCBO strike provided during the quarter for your revenue?
Paul Dubkowski: We can give some ranges. I mean we definitely saw a bump in traffic at our wine shops, as we mentioned. I mean the LCBO customers were funneled into the available network at that time. It’s difficult to put an exact number on it just because consumers are choosing alternative paths, whether it’s e-com, whether it’s our wine shops. But in the quarter, I mean, the traffic bump would have been in and around 30% to 50% and we saw that flow down through our revenue and to the bottom line. And so I would guess in that kind of $2 million-ish range for the quarter was the benefit, EBITDA.
Megan Bergen: Okay, great. Thank you. That’s all for me.
Operator: Your next question comes from Dave Boychuk, Shareholder. Please go ahead.
Dave Boychuk: Good morning, Paul. Good morning, Patrick. How are you? Hello from Jordan station.
Paul Dubkowski: Good morning, Dave.
Dave Boychuk: I was at the AGM in September, and this is actually just a clarification question because somebody in the – somebody at that meeting asked the question about the current, I guess, the current shares of the A and B value. And I forget which one of you guys answered back something that you were working with somebody or some firm or something. And I just wanted clarification what that was.
Paul Dubkowski: To be honest, I’m actually don’t recall that or mention anything around that. I don’t think that’s something we would speak about at an AGM nor do I have anything to report on that. But I’d be happy to – if there’s something specific, I’d be happy to take a call on it. But no, nothing to report, and I don’t recall speaking about that.
Dave Boychuk: Okay. I forget which one was of – it was during the question-and-answer period, and it was one of the very last questions of the actual AGM part of it. And yes, I just wanted to know because I – okay, never mind. If you guys don’t remember, then it’s okay. Thank you.
Paul Dubkowski: No, I apologize, but happy to connect directly, and we’ll go back and review the AGM materials just to advise anything.
Dave Boychuk: That would be great. I really appreciate that. Thank you.
Paul Dubkowski: Yeah. I will do that because I just don’t recall it, to be honest.
Dave Boychuk: Okay, no worries. Thank you, guys. Thank you very much.
Paul Dubkowski: Thank you.
Operator: [Operator Instructions] There are no further questions at this time. I would hand over the call to Paul Dubkowski for closing comments. Please go ahead.
Paul Dubkowski: Yes. Thank you. So in closing, again, I just – I do want to thank our employees for their dedication and efforts. We really had a nice start or first 6 months of our fiscal, and we are optimistic about continued momentum through the back half of the year and again, thank you for everybody attending today. And with that, we will wrap up the call. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation and you may now disconnect.